Operator: Good day everyone and welcome to today's ProAssurance First Quarter 2012 Earnings Conference Call. As a reminder, today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Frank O'Neil. Please go ahead, sir. 
Frank O'Neil: Thank you, Mindy. Good morning, everyone. Thanks for joining us as we discuss our first quarter 2012 results. Please bear with me for just a second while I handle some of our important legal statements.
 On Monday, May 7, 2012, we issued a news release and filed an 8-K reporting our results for the quarter ended March 31, 2012, along with our SEC filings, including the 10-Q which we also filed on Monday, May 7. These documents provide you important detailed information about our company and our industry. These documents discuss in detail many important factors that could affect the outcome of future events and thus could cause our actual results to differ materially from current projections or expectations. Please read and understand these cautions and be aware that statements we make on this call dealing with projections, estimates and expectations are explicitly identified as forward-looking statements subject to these and other risks.
 And except as required by law or regulation, we will not undertake and, in fact, expressly disclaim any obligation to update or alter information disclosed as part of these forward-looking statements. The content of this call is accurate only on Tuesday, May 8, 2012. We do not authorize or review any transcripts you may obtain, so please know the transcripts may contain factual or transcription errors that could materially alter the intent or meaning of our statements. One final reminder, we are going to reference non-GAAP items in our call today. Please refer to our recent filings on Form 10-Q and our recent news release for a reconciliation of these non-GAAP numbers to their GAAP counterparts.
 Participating in today's call are our Chairman and CEO, Stan Starnes; Chief Financial Officer, Ned Rand; and Howard Friedman, our Chief Underwriting Officer and Actuary. Vick Adamo is away representing ProAssurance in an industry conference, so we are going to start with Stan for a few opening remarks. 
William Starnes: Thanks, Frank. The first quarter of 2012 was another solid quarter for ProAssurance. When you combine our long-term focus on building financial strength and protecting our policyholders with our ability to leverage that financial strength and our insurance expertise, the results are quite positive.
 In short, we are benefiting today from our past discipline and execution as well as paying attention today to the details that produce excellence in service and financial results. In the quarter, our top line increased as we added new business and retained more than 90% of our expiring premium. Book value per share continued its steady increase and we generated a bottom line result we are very pleased to report to you today. Frank? 
Frank O'Neil: Thanks Stan. Now, let’s turn to Ned and Howard to kick it off. 
Edward Rand: [Audio Gap] 
 quarter-over-quarter to $170 million, an increase of $10 million. I think it’s worth noting that approximately $1.2 million of that increase was in hospitals, lawyers professional and in our excess and surplus lines, 3 areas in which we continue to leverage our expertise in responding to the unique insurance challenges of those markets. The remainder of the increase was due to reporting endorsement coverage. Howard, can you give us greater detail on these policies? 
Howard Friedman: Sure, Ned. We continue to see consolidation on the healthcare market ranging from hospitals merging or acquiring physician groups, the medical practices combining into large independent multi-specialty clinics. While this consolidation sometimes results in the loss of policyholders, it also presents new opportunities for us. Of the $8 million in tail coverage, $6.2 million was a reporting endorsement written for a hospital that was terminating its self insurance arrangements as it merged into another hospital.
 Situations such as this are not all that common, but will likely arise more frequently as healthcare organizations come together or seek to wind down their captive to self insurance trust funds to free trapped capital. It's going to be sporadic and while there will be lots of competition for that business, we believe our claims handling expertise and our ability to understand large, complex risks makes it a natural market for us. 
Edward Rand: Thanks, Howard. One other quick note, premiums from these reporting endorsements were fully earned during the quarter. Be mindful of the sporadic nature of these policies as you refine your model for future quarters.
 Moving on to another key item, we recognized $48 million in net favorable loss reserve development in the quarter, an increase of $8 million over the same period last year. Howard, can you provide some color on the favorable development? 
Howard Friedman: Sure. We continue to see loss severity at levels below those, which we were expected when we established our reserves, and this led to the favorable development, which was primarily from accident years 2004 through 2009. While we are pleased with the outcomes that result from the current loss environment, we’re also mindful of the painful lessons of the early 2000s when we saw industry-wide loss ratios above 100%. That’s why we are so focused on prudent underwriting and appropriate reserving that reflects our view of the historical volatility in medical professional liability.
 Looking forward, we are still cautious given the picture painted by 35 years of NPL data and we are just as careful in considering today’s evolving loss environment as we set 2012 accident year loss fix. Ned? 
Edward Rand: Thanks again, Howard. Let me cover a few other items. Our net investment result continues to reflect the low interest rate environment, although the quarter-over-quarter decrease is not as large as the decrease from 2010 to 2011, because we have had interest rates at this level for some time now.
 The primary component of our net investment result is net investment income, which was $33.5 million in the quarter, down 7% over last year's first quarter. The other component is our earnings or losses from unconsolidated subsidiaries. We had a loss of $2 million, primarily the result of the amortization of tax credit limited partnerships. As we have discussed before, these losses are expected and more than offset by a reduction in our federal tax liability.
 Expenses were essentially level quarter-over-quarter. Operating income was up 7% to $48.2 million or $1.56 per diluted share. Net income was $55.6 million or $1.80 per diluted share. Return on equity, which we calculate by dividing annualized net income by the average of beginning and ending shareholders' equity was 10.2% unchanged from last year's first quarter. Book value per share continued to increase as Stan mentioned and now stands at $72.33. Tangible book value is $65.41 per share.
 And I want to highlight another milestone. Our total assets have now topped $5 billion for the first time in our history. Frank? 
Frank O'Neil: Thanks, Ned. One more time to Howard for a little commentary on trends in general business. Howard? 
Howard Friedman: This won’t take too long, Frank, because we have seen no change in overall trends. Frequency is flat as it has been for the past 3.5 years. And as I mentioned earlier, the rise in severity is coming in around 3% or 4%, which is below our prior expectations.
 Average renewal pricing was unchanged quarter-over-quarter and we retain 92% of renewing premium in our physician NPL book of business. That is 2 points higher than the same quarter a year ago. Here is what we read into that, we believe it says that even in this time of intense competition for new business, our insurers find value in a ProAssurance policy, because they recognize that the superior product we provide is unlike that provided by our lower price competitors. 
Frank O'Neil: Thanks, Howard. Just a word on the tort climate or legal and legislative fronts, there has been no real change. We are still expecting a ruling this year from the Florida Supreme Court on that state's tort reforms, but no new challenges have been launched. Legislatively, there is no definitive state action to report. From Washington, we can report the passage of H.R. 5 by the House of Representatives. That was in late March. That Bill consists of a number of reforms patterned after California’s effective Supreme Court tested and decades-old tort reform package. That legislation is now in front of the Senate, where we believe it will likely be defeated as it has been in past Senate votes. Stan, final thoughts before we take questions? 
William Starnes: Frank, I will highlight our continued progress with our Ascension program now about a year old in Michigan, where our results continue to meet our expectations. We launched in Indiana late in the first quarter and have seen good results so far. The program has just launched in Florida, where Jacksonville and Pensacola are the ministry centers. And while it’s too early to report results there, I am pleased with the reception, which has been positive and that the ministry leaders are very supportive. We expect to launch in Texas before the end of the second quarter. We continue to be excited about that relationship and a whole host of opportunities on the horizon, where our financial strength and operational expertise will stand us in good stead. Frank? 
Frank O'Neil: Thank you, Stan. Mindy, that concludes our prepared remarks. We are ready for questions. 
Operator: [Operator Instructions] And we will take our first question from Mark Hughes from SunTrust. 
Mark Hughes: Your comment on severity, could you say that again? Was it a little lower than you had seen previously or increasing at about the same pace? 
Howard Friedman: Mark, it's increasing at about the same pace. We have been saying 3% to 4% now for several quarters at least, so we really don't see much different right now. 
Mark Hughes: Okay. And then you may not be able to gauge this, but to what extent is healthcare reform driving the consolidation of the small doctor groups, smaller practices. Has that been something that you've understood has been a catalyst for that? I guess, I'll throw out, if reform is slowed or tossed out, do you think that influences the pace of consolidation? 
William Starnes: No, I think the -- there are number of factors, the confluence of which are driving physicians at increasing numbers into hospitals or hospital-affiliated groups. The Accountable Care Act and the uncertainty that it creates is certainly one of those factors. The demographics of medicine is changing. The bureaucratization of medicine is preceding the pace with lots of bureaucratic regulatory efforts that are coming at both the state and the federal level. All of these things serve to push a certain number of physicians and physician groups into larger and larger groups. Now, the solo practitioners and the smaller groups are not going to disappear. They will always be a very, very important part of ProAssurance and our commitment to physicians, but the fact remains that an increasing number of physicians are moving into hospitals and hospital groups and the Accountable Care Act is part of the reason for that. Now, should the Supreme Court overturn the Accountable Care Act,  I don't think you can turn back the clock. Healthcare in this country is on an unsustainable course in terms of the increase in the amount of our gross domestic product we are spending on healthcare and there are changes that are going to continue regardless of whether the Accountable Care Act is upheld or whether it is not upheld. We simply cannot afford all the healthcare we are capable of delivering. 
Operator: We'll go next to Ray Iardella from Macquarie. 
Raymond Iardella: Couple of quick ones, I think, maybe for Howard or Ned. Can you talk about the accident year loss ratio in the first quarter and maybe any uptick you might have seen from the tail policies or even the legal liability side? 
Howard Friedman: Ray, yes, the uptick in the quarter was primarily due to the tail coverage. We've established initial reserves for tail coverage at a higher expected loss level simply because it's permanent coverage and it has a higher degree of risk variation to it, because we are feeling with the unreported claims, not the typical claims made coverage, where we know about the claims reported, just dealing with the amounts. So, that is the reason for the increase in the loss ratio. 
Raymond Iardella: Okay. And then on the core, I guess, medical professional liability book that you are writing is that -- is action [indiscernible] somewhere around 85, I believe that's what the Q, I think, pointed out. 
Howard Friedman: Well, the core book, yes, that would be about I think where we are. We are just checking it now to make sure we are all talking about the same thing, but that is about the rate that we have been running 84, 85. 
Raymond Iardella: Okay. And then any noise in the quarters in terms of development from the lawyers' professional liability book? 
Howard Friedman: No, no, no changes there. Just going back to that 86.1 in the Q, that does include the tail coverage in it. So, it would have -- what I was saying before is that the 86.1 is higher than what we have had in several prior quarters mainly because of the effect of that tail. 
Raymond Iardella: Okay, that's helpful. And then last thing maybe touching on capital management. Certainly I wouldn't expect you guys to buy back shares at current valuation, but maybe you can talk about the dividend and maybe talk about when does the Board discuss potential dividend increases and I'll re-queue. 
Edward Rand: Ray, it's Ned. The Board looks at capital on a quarterly basis. We look at it a lot more frequently than that from a management perspective. And every quarter, we have a discussion with the Board regarding capital and that includes the dividend and that's something that we will continue to do. I don't know that I can be more specific than that, other than it's just an ongoing dialog. 
Raymond Iardella: Okay, any specific metrics, you guys, excuse me, look at payout ratio or is it sort of just kind of how you think about the stability of the business? 
Edward Rand: There are a lot of different factors that go on. We look at the dividend yield. We look at the payout ratio. We look at our projections of earnings, our projections to cash flows, so lot of different things going, go into it. 
Operator: And at this time, there are no other questions. [Operator Instructions] We'll go back to Ray Iardella from Macquarie. 
Raymond Iardella: Maybe just touching on the M&A environment. I know, Howard, I think you took part in the panel last week. And I think one of the commentaries was some of the smaller competitors maybe at a disadvantage in the medical professional liability market. Maybe can you give us an update on what the M&A environment looks like right now? 
Howard Friedman: I'll go to back my comments from that and maybe somebody else has comments as well. The point I was trying to make in that A.M. Best call was that as the competition remains pretty intense in our marketplace, a number of the smaller companies, due to the effective rate decreases and the loss environment as well as competition itself, have continued to decline in premium and one of the side effects of that of course is the higher and higher expense ratio and more difficulty in just providing the basic services that any one of our companies would try to provide. So, my point there was that as the market remains competitive, there will be more pressure on some of the smaller competitors. They might be experiencing good results on the loss side, but just continue to shrink in terms of premium volume and may well be looking for consolidation opportunities. I wasn't pointing to anybody in particular or anybody that we are specifically looking at. 
Operator: We'll go next to Mark Hughes from SunTrust. 
Mark Hughes: Yes a question. What would be the highest underwriting leverage that you would be comfortable with at this point, that would be consistent with your current ratings? How high could you go? 
Howard Friedman: That's really, Mark, a much better question for the rating agencies… 
Mark Hughes: Since you guys know more than I do though. 
Howard Friedman: I am just kidding. It is a balancing act with the rating agencies. And one of the problems [ph] is -- with that question is it depends on how you get that growth. So, I think realistically we could probably double the amount of premium we are writing, And in a theoretical basis that should not jeopardize our ratings. However, if we were to actually double our writings, the t rating agencies would probably react adversely to that, not because of the capital component, just because of the growth and the quickness of that growth. So, there are a lot of factors that go in, but from a pure leverage standpoint, I think you could probably come close to doubling what we write. 
Mark Hughes: Right. Now, you were substantially higher than that though in times past? 
Howard Friedman: Yes, in times past, we have written in excess of 1:1 on a premium to surplus basis. I do not think that the rating agencies would allow us to maintain our ratings these days with those sorts of leverage. 
Operator: And at this time, there are no other questions. 
Frank O'Neil: Thank you, Mindy. We appreciate everyone's attention. We look forward to speaking with you in August when we report second quarter results. 
Operator: This does conclude today's conference. We thank you for your participation.